Operator: Ladies and gentlemen, thank you for standing by and welcome to the PrairieSky Royalty announces their First Quarter 2021 Financial Results Conference Call. At this time, all participants are in a listen-only mode. After the speaker presentation, there will be a question-and-answer session. [Operator Instructions]. Please be advised that today's conference maybe recorded. [Operator Instructions]. I would now like to hand the conference over to your speaker today, Andrew Phillips, President and CEO. Please go ahead.
Andrew Phillips: Thank you and good morning and thank you for dialing into the Q1 2021 PrairieSky Royalty earnings call. On the line from PrairieSky are Cam Proctor, COO; Pam Kazeil, CFO; and myself, Andrew Phillips. Q1 of 2021 saw roughly flat production from the fourth quarter but a 20% increase in funds from operations due to strong pricing in our unhedged royalty production. The second quarter we'll see the benefit of a full quarter of contribution from our recently completed Deep Basin Royalty acquisition. The PSK team is hard at work integrating the asset package, conducting compliance reviews, and working towards new leasing arrangements with producers. Given the strong economics of our variety of plays on these lands, PrairieSky management believe they can grow this asset in the mid-single-digits over the next 10 years with no capital invested. The Compliance Group generated just under $1 million in revenue in the quarter as well as generating new lease bonus as a result of their compliance initiatives. These issuance bonus total $1.4 million as PrairieSky entered into 33 new leases with 29 counterparties. Leasing in the first quarter was dominated by the Viking formation in Alberta in Western Saskatchewan. Cost control which has been a key focus since our IPO continues to make progress. Q1 cash G&A of $3.27 per barrel is $0.20 per barrel lower than Q1 of 2020. Q1 is where management and staff received their share-based compensation which totaled $700,000 for the year. Cash G&A should be well below $3 per barrel again this year. Activity levels in the basin continue to improve off a multi decade low experienced last year. Natural gas prices have improved incentivizing natural gas activities and improving the economics of oil and liquids rich plays, as solution gas add more cash flow. With the backwardation in the oil curve, and narrow differentials, we anticipate producers will look to drill short cycle time quick paled oil plays. The Viking remains at the top of the pile for light oil plays, so stronger activity should resume after breakup in this play. Play expansions and new discoveries in our Clearwater acreage have added to our already sizeable inventory of economic locations in the back half of 2021. We now have over 1 million acres of long tenured land on this fast growing play. We also have two polymer pilot floods on our Clearwater lands which should positively impact recovery factors and duration at no additional cost per well cleaners. As the year progresses, we'll continue to catch shares, lease land, evaluate acquisition opportunities, and bring our leverage down to zero. In May, we will once again apply to the TSX for approval of a normal course issuer bid. We plan to renew the NCIB to repurchase up to 15.2 million shares. We look forward to our Investor Day and our third asset handbook release on May 18 of this year. We'll highlight key plays, tabulate the value of all undeveloped locations, show investors our return on equity and how it should improve over time, as well as an expected range of outcomes for your equity investment in PrairieSky. Employees and management continue to invest our aftertax dollars in PrairieSky that we feel trade well below the intrinsic value of our business. I'll now turn the call over to Pam to walk through the financials.
Pam Kazeil: Thank you, Andrew. Good morning everyone. During the first quarter, PrairieSky generated funds from operations of $48.8 million or $0.22 per share. Cash flow was generated primarily from Royalty production revenue of $56.7 million on average production volumes of 19,380 BOE per day. In late February, we closed our previously announced Deep Basin Royalty acquisition for cash consideration of $45 million before adjustments. This acquisition consolidates into PrairieSky 640,000 acres of Royalty lands including 170,000 acres of fee mineral titles and adds approximately 650 BOE per day of production, which we will see the full impact of in Q2. Q1 2021 oil royalty revenue of $36.5 million increased 30% over Q4 due to strong WTI benchmark pricing. Revenue was generated on oil volumes of 7,278 barrels per day which were flat with Q4, as new wells brought on stream and one month of production from the acquisition to offset natural decline. Natural gas revenue of $12.7 million was 27% above Q4 due to strong AECO and Station 2 benchmark pricing, which more than offset the modest decline in natural gas volumes to $57.6 million a day. Natural gas volumes were negatively impacted by seasonal cold weather freeze offs, which offset incremental production from new wells on stream and the acquisition. NGL revenue increased 34% from Q4 due to strong benchmark pricing and a 9% increase in Royalty production volumes to 2,502 barrels a day. NGL volumes increased due to production from new wells on stream and incremental volumes from the acquisition. PrairieSky's production volumes in the quarter included 1,167 BOE per day of prior period adjustments which were 50% liquid and included 362 BOE a day from compliance activities and an additional 805 BOE per day of other prior period adjustments related to new wells on stream and better well performance. The Compliance Group continues to recover missed and incorrect royalties through forensic accounting, collecting $800,000 in the quarter. There were 100 wells spud in the quarter of which 86 were oil. Oil activity included 46 Viking wells, 13 Clearwater wells, and eight Cardium wells. There were also 14 natural gas wells by including nine Montney wells. Although drilling activity improved in the quarter, compared to the back half of 2020, it remains significantly below levels we saw before the onset of COVID-19. Other revenue totaled $1.8 million, including $700,000 in lease rentals -- $700,000 in other income and $1.4 million in bonus consideration on entering into 33 leasing arrangements with 29 different counterparties. Cash administrative expenses totaled $5.7 million or $3.27 per BOE. Cash administrative expense was 19% lower than Q1 2020 and included the annual long-term incentive expense of $700,000. This is a 59% reduction compared to the incentive payments in January 2020. During Q1, PrairieSky declared dividends of $14.5 million, with the resulting payout ratio of 30% with remaining cash flow allocated to funding the Deep Basin acquisition. At March 31, PrairieSky's bank debt was $61 million. Since IPO, PrairieSky has generated approximately $1.5 billion in funds from operations and returned $1.3 billion to shareholders through dividends and buybacks. We'll now turn it over to the moderator to proceed with the Q&A.
Operator: Thank you. [Operator Instructions]. Our first question comes from Jeremy McCrea with Raymond James. You may proceed with your questions.
Jeremy McCrea: Yes, hi guys. I was wondering -- two questions. If you could give a bit of a sneak preview of your asset playbook and some of the biggest things that we'll probably see this time around versus a couple of years ago. And then, just with the acquisition and the results coming back where current production, roughly assuming like 1,000 BOE in Compliance BOEs from Deep Basin acquisition?
Andrew Phillips: Yes, thanks for the questions, Jeremy. Investor Day will be similar to the previous two, where we're going to obviously put out our new asset handbooks and kind of detailed intrinsic values of business with just what we know currently, currently economic locations and just show investors why we'd like to cancel shares, because of where we trade relative to intrinsic value also, kind of focus on returns or return on equity, return on capital employed, which are parallel to each other because of our low debt levels. And really highlights new play, some opportunities in play extensions that industry has developed over time. And I think, the most powerful thing is even in this challenging two-year period, specifically last year, we've had our proved reserves stay roughly flat with no acquisitions with other people's capital. So that kind of just shows why you want to own royalties over the long-term is all that capital is available for free cash flow. And then on the current production levels, obviously we don't give any guidance, and we get trailing data as well. But I'll say that a lot of the big winner programs on the Clearwater would have kind of partial data for the first quarter. We stopped 475 barrels of shut-in or curtailed oil production. And we're working through a lot of those with producers. And I think, some of it will be permanently impaired just because the costs of reentering and recompleting are pretty callback on production might be higher than the net present value of the remaining reserves and some of the long -- later in-life wells. But I do think some of that or at least half of that should come back on over the next two quarters. So I think, and then on the gas side, you obviously had the freeze-offs, we had a very, very cold February and our Shale Gas portfolio with 20 to 30 barrels per million see some freezing issues at the wellhead. So I think you should see slightly stronger production ahead, but I hate to give numbers around that.
Jeremy McCrea: Yes, okay. Thanks guys.
Andrew Phillips: Thanks for the question, Jeremy.
Operator: Thank you. Our next question comes from Aaron Bilkoski with TD Securities. You may proceed with your question.
Aaron Bilkoski: Thanks, good morning. I guess my question is around the NCIB. And as we look ahead, how do you think about the NCIB, do you see PrairieSky using it as a tactical tool like in Q3? Or do you see a return to a more regular systematic repurchase on a quarterly basis?
Andrew Phillips: Yes, it's a good question, Aaron, and thanks for the question. I think we'll implement a regular program with the option of being tactical in the back half of the year. And I think the reason we structure it that way is just to chip away at the share count, see how the year progresses. Obviously, we'll have the debt repaid in a short amount of time, and we got a debt draw and then have excess cash to continue to cancel shares with. But I think we would just want to see how the M&A market shapes up and if there's quality assets, that makes sense that are accretive short, medium and long-term, then potentially that would take presence over the NCIB. But whatever creates the most value on a per share basis to shareholders is how we'll decide that. And part of the reason we don't give any guidance or outlook on our tactical approach is because we wouldn't want people from running the trade I guess. So hopefully, that answers your question.
Aaron Bilkoski: It does. If I could ask a follow-up question on the M&A front?
Andrew Phillips: Sure.
Aaron Bilkoski: Have you seen any emerging opportunities on the carbon capture and storage initiatives? And, I guess do you see PrairieSky ultimately participating in this space? 
Andrew Phillips: Yes, that's actually -- that's a really, you kind of give a preview to Investor Day there. We've actually got a big part of the presentation to talk about carbon capture and underground storage, but as well, carbon sequestration into miscible oil reservoirs, where there's a lot of remaining pore space called to recover the remaining light oil reserves. Our first deal is done with Enhance, their, on one of their first pools that looks like it's starting to show first oil and it looks pretty successful. And they're obviously taking a lot of cars off the road. And there's a lot of this potential in Central Alberta where we have our Checkerboard acreage. And if you look at that chart, I always like to show which shows the duration of our asset. In our presentation, you can see that our production was almost triple what it is today from an oil perspective and it's all the old reefs. And what's interesting is most of them still have in the range of a third of the light oil remaining and there was just no real way with technology in the past to get those last oil, light oil barrels out. But now with carbon dioxide floods, you could get some of these reservoirs back up to peak production. So we think it'll be a big part of our Royalty production 10 years from now. So it's -- and it's light oil, it's all infrastructure connected. And it'll be some of the lowest Scope 1, 2 and 3 oil produced in the world. So I think it is something we're focused on at Investor Day, we're going to show up 100 different reservoirs 87, I believe of which are going to be immiscible. So just for carbon dumps. The remainder of which has some potential for enhanced oil recovery. But that'll be a significant section of our assets playbook.
Operator: Thank you. And I'm not showing any further questions at this time. I would now like to turn the call back over to Andrew Phillips for any further remarks.
Andrew Phillips: Thank you, everybody for dialing-in. Thank you very much to all our shareholders for their support and our employees for their hard work. And please call Pam or myself if you have any follow-up questions.
Operator: Thank you. Ladies and gentlemen, this concludes today's conference call. Thank you for participating. You may now disconnect.